Operator: Good afternoon, ladies and gentlemen, and welcome to the Corvus Pharmaceuticals' Business Update and Reports First Quarter 2024 Financial Results Conference Call. [Operator Instructions] This call is being recorded on Monday, May 6, 2024. 
 I would now like to turn the conference over to Zack Kubow, your Real Chemistry. Please go ahead. 
Zack Kubow: Thank you, operator, and good afternoon, everyone. Thanks for joining us for the Corvus Pharmaceuticals' First Quarter 2024 Business Update and Financial Results Conference Call. 
 On the call to discuss the results and business updates are Richard Miller, Chief Executive Officer; Leiv Lee, Chief Financial Officer; Jeff Arcara, Chief Business Officer; Jim Rosenbaum, Senior Vice President of Research; and Ben Jones, Senior Vice President of Regulatory and Pharmaceutical Sciences. The executive team will open the call with some prepared remarks, followed by a question-and-answer period.  
 I would like to remind everyone that comments made by management today and answers to questions will include forward-looking statements. Forward-looking statements are based on estimates and assumptions as of today and are subject to risks and uncertainties that may cause actual results to differ materially from those expressed or implied by those statements, including the risks and uncertainties described in Corvus' annual report on Form 10-K and other filings the company makes with the SEC from time to time. The company undertakes no obligation to publicly update or revise any forward-looking statements, except as required by law.  
 With that, I'd like to turn the call over to Leiv Lei. Leiv? 
Leiv Lea: Thank you, Zack. I'll begin with a quick overview of our first quarter 2024 financials and then turn the call over to Richard for a business update. 
 Research and development expenses in the first quarter of 2024 totaled $4.1 million compared to $4.6 million for the same period in 2023. The net loss for the first quarter of 2024 was $5.7 million, including noncash income of $0.2 million related to Angel Pharmaceuticals, our partner in China. This compares to a net loss of $7.9 million for the same period in 2023, which included a $1.7 million noncash loss related to Angel Pharmaceuticals. 
 Total stock compensation expense for the first quarter of 2024 was $0.7 million compared to $0.5 million for the same period in 2023. As of March 31, 2024, Corvus had cash, cash equivalents and marketable securities totaling $22.1 million as compared to $27.1 million at December 31, 2023. Today, we closed a $30.6 million financing that included a premier group of biotech investors as well as some members of the Corvus leadership team. Including the proceeds from this financing, pro forma cash at March 31, 2024, was approximately $52.7 million, extending our cash runway into Q4 of 2025.  
 I will now turn the call over to Richard, who will discuss our clinical progress and elaborate on our strategy and plans. 
Richard Miller: Thank you, Leiv, and good afternoon, everyone. Thank you for joining us today for our business update call. 
 Since our Q4 update in mid-March, we have continued to make progress against 2 key value drivers that we are focused on for 2024. First, for our planned registrational Phase III trial of soquelitinib for patients with relapsed peripheral T-cell lymphoma, we remain on track to begin enrollment in the third quarter. And our confidence in this trial continues to grow as 2 additional patients in our Phase I/Ib trial recently achieved objective responses at first follow-up. Second, our placebo-controlled Phase I trial of soquelitinib for patients with moderate to severe atopic dermatitis, we began patient enrollment in April, which keeps us on track to report early data from the trial before the end of the year. 
 In addition to these 2 priorities with soquelitinib, today, we are reporting encouraging initial data from our Phase Ib/II trial of ciforadenant, or adenosine A2A receptor antagonist, in frontline metastatic renal cell cancer, or RCC. Based on the significant deep response rate seen in the initial set of patients, the protocol prespecified statistical criteria for expanding the study has been met, and the Kidney Cancer Research Consortium, or KCRC, is enrolling additional patients. Combined with our ongoing business development efforts aimed at further unlocking the potential of ITK inhibition in a broad range of oncology and autoimmune indications, we believe Corvus is positioned to continue building value and advancing our unique pipeline to help improve clinical outcomes for patients. 
 Now I will provide more detail on our progress, starting with soquelitinib for PTCL. While we are no longer enrolling new patients in our Phase I trial, the data continues to evolve as patients on therapy complete their scheduled follow-up assessments. In the most recent data cutoff from May 3, 2024, we had 2 additional patients that achieved an objective response at their first follow-up visit. The first was a complete response confirmed by PET CT scan, and the second was a partial response with over 80% tumor volume reduction. These patients both had multiple sites of disease and had failed 2 prior therapies. Both of these patients are continuing on therapy. 
 With these additional evaluable patients, the objective response rate, or ORR, for the Phase III eligible patients is now 9 out of 23 or 39%, including 5 complete responses and 4 partial responses. Although not studied head-to-head, the complete response rate for soquelitinib at 22% is approximately double that seen with belinostat or pralatrexate, the standard chemotherapies for PTCL that we will be comparing to in our Phase III trial. Similarly, the ORR, disease control rate, progression-free survival and overall survival for this group compares favorably to the results seen with belinostat or pralatrexate. 
 The median PFS for our patients, which is the primary endpoint for the Phase III trial is 6.2 months. This is substantially better than reported results for the standard agents, which is 1.6 and 3.5 months for belinostat and pralatrexate, respectively. The durability of our responses is impressive with some of the earlier enrolled patients maintaining their responses for more than 24 months. 
 We plan to begin patient enrollment in our soquelitinib registrational Phase III clinical trial in relapsed PTCL in the third quarter of 2024. We are working with our -- with or are in advanced discussions with a number of leading centers in United States and Canada. We anticipate about 40 centers will participate in the trial. The vast majority will be in the United States. 
 Now for an update on soquelitinib for atopic dermatitis, the first immune disease indication we are evaluating. In April, we initiated patient enrollment in the first patient cohort of the trial. There is high interest in our trial from physicians due to several attractive features of soquelitinib. First, this is a first-in-class drug with a novel mechanism of action. Soquelitinib acts upstream by blocking Th2 and Th17 cells and thereby results in inhibition of many different cytokines involved in disease. Second, it is an oral therapy and, in our cancer studies, has been shown to have very good safety profile. And third, it may have broad utility across many different autoimmune and inflammatory diseases, and this trial may provide proof-of-concept for the treatment of other immune diseases.  
 The trial is designed to enroll 64 patients with moderate to severe atopic dermatitis that have progressed on at least one prior therapy. The study is randomized, placebo-controlled and blinded to patients and treating physicians. There will be 4 sequentially enrolled cohorts of 16 patients with patients in each cohort being randomized 3:1 to different dosing regimens of soquelitinib or placebo given for 28 days. The primary endpoint is safety and tolerability, and efficacy is measured using Investigator Global Assessment and the clinically validated measurement of improvement in Eczema Area and Severity Index score, also known as EASI. 
 It should be noted that while the trial is double-blind, the company is not blinded. We plan to evaluate the data in an ongoing manner as successive cohorts complete enrollment. We also will be measuring the levels of various serum cytokines at baseline and on treatment. These measurements may provide useful biomarkers. Based on current enrollment trends, anticipated site activations and follow-up time lines, we believe data from the initial cohorts will be available before the end of 2024 with study completion in early 2025.  
 Outside of our PTCL and atopic dermatitis trials, we're still planning a soquelitinib solid tumor trial as a single agent and in combination with nivolumab in relapsed RCC. And we remain active with our corporate partnering discussions. Our business development strategy is to find partners with development and commercialization expertise in immune diseases as well as seek regional partnerships in oncology that would be complementary to our focus and expertise in cancer. 
 I'm excited to update you on the progress with ciforadenant, our adenosine A2A receptor antagonist. We have been one of the leaders in the development of adenosine A2A receptor antagonism for the treatment of cancer. Over the past few years, published preclinical and clinical studies have demonstrated the antitumor activity of ciforadenant as a monotherapy and when given in combination with checkpoint inhibitors. 
 In particular, in our preclinical studies published in 2018, we found that anti-CTLA-4 antibody combination with ciforadenant produces striking antitumor efficacy in several animal models. Further research has revealed the probable mechanism for this synergy, which involves modulation of the tumor microenvironment, specifically the blocking of myeloid-derived suppressor cells. In other words, we believe that anti-CTLA-4 antibodies are a much better combination partner for A2A antagonist than anti-PD-1s. These findings led to our collaboration with the Kidney Cancer Research Consortium. This group of institutions brings the leading physicians and researchers in kidney cancer whose goal it is to discover improved therapies for patients with renal cancer. 
 Our Phase Ib/II clinical trial, which is led by Dr. Katy Beckermann from Vanderbilt University Medical Center, is evaluating ciforadenant as a potential first-line therapy for metastatic renal cell cancer in combination with ipilimumab and nivolumab. The study is now open at MD Anderson, Vanderbilt, Duke and the University of Pennsylvania. The clinical trial is currently in the Phase II portion and, overall, is designed to enroll up to 60 patients. There are currently over 27 patients enrolled. 
 The trial employs a stringent efficacy endpoint, deep response rate. Deep response rate is the CR rate plus the PR rate only counting PRs that achieved greater than 50% tumor volume reduction. Note, the usual criteria for PRs is 30% tumor reduction. Data from the KCRC has shown that deep response rate correlates with long-term progression-free survival and overall survival and, in their previous studies, is 32% with ipilimumab and nivolumab.  
 In an interim analysis, our protocol-defined prespecified statistical threshold for efficacy is the demonstration of at least a 50% increase above the 32% deep response rate seen with previous ipi/nivo combination trials in renal cell cancer conducted by the Kidney Cancer Research Consortium. This means we need to exceed a deep response rate of 48%. As of May 2, 2024, the interim analysis that was conducted indicates that we have met the statistical threshold for efficacy so the trial continues to enroll patients. We are excited about these results, given the positive clinical implications for patients. In addition, they are consistent with our laboratory and preclinical findings and, we believe, may represent a novel immunotherapy approach.  
 Summarizing the outlook for the remainder of 2024 with our recent financing, our current cash gives us runway into late 2025, allowing us to achieve several near-term milestones, including: starting our registrational Phase III clinical trial of soquelitinib in PTCL in the third quarter; generating interim results from our soquelitinib Phase I atopic dermatitis trial before year-end, followed by final data in early 2025; reporting additional data from the ciforadenant Phase Ib/II clinical trial later this year; and initiating a Phase II clinical trial with soquelitinib in solid tumors in the fourth quarter with initial data anticipated in the second half of 2025. We look forward to providing updates on our programs in the coming quarters.
 I will now turn the call over to the operator for a questions-and-answer period. Operator? 
Operator: [Operator Instructions] Your first question comes from the line of Aydin Huseynov from Ladenburg. 
Aydin Huseynov: Congratulations with the progress and, most importantly, with 2 additional responses on PR and CR. They're quite unexpected from Phase Ib. So regarding soquelitinib in PTCL, so you got 23 patients, DCR 61%, 5 CRs, 4 PRs. So could you remind us what is the standard of KCRs in other PTCL trials, belinostat, pralatrexate or any other agents? 
Richard Miller: Thank you, Aydin, for the question. So the approval studies for both belinostat and pralatrexate were single-arm studies. Those drugs received accelerated approval about 15 years ago. They each had CR rates of about 10% and overall response rates of about 25% to 30%. They had PFS, progression-free survivals, of about 1.5 to 3.5 months. 
Aydin Huseynov: Okay. That's helpful. And with the new responses, how much this is going to increase your sort of preliminary PFS and OS? I know you reported previously 6.2 months in PFS, 20 months OS. Is it going to increase significantly? 
Richard Miller: So the current ORR now, overall response rate, is 39%, just to remind you of that. And by the way, in lymphoma, we use the Lugano criteria, which is 50% for a PR. And I should add that the PR that I just mentioned has about 87% reduction of tumor. One tumor was totally gone. I suspect he could be on his way to a CR very soon. The PFS -- we expect the PFS to improve as these last few patients move through the median. 
Aydin Huseynov: Okay. Understood. And regarding the data from the Phase III trial, when do you think we will have a first glimpse on the readout? Any -- i know this is randomized trial, blinded trial. But when do you think we'll have the first look at it? 
Richard Miller: Well, it is a randomized trial. It is not a blinded trial. I mean, we know who gets chemotherapy and who gets our drug. It is hard to disguise that in an oncology trial since these drugs -- the chemotherapy drugs have side effects. 
 The median PFS is, as I mentioned, for pralatrexate and belinostat are short, only a few months. Therefore, the study is not that long. It's 150 patients. We think we could probably enroll that thing fully in about 18 months, and then you'd need some follow-up after that to get to the final data. There is an interim -- there is a point that we conduct an interim analysis, which is when half of the events occur. The events being the PFS events. But that occurs so late in the study that we would probably wait for the end of the study to make a final determination. 
 Now having said that, we do have an outside data monitoring committee. And I guess if the results were so persuasive or compelling, you would possibly have an ethical reason to discontinue the study. 
Aydin Huseynov: Okay. Makes sense. And the last one if I may... 
Richard Miller: So let me just say, so I think you have data from this trial in 24 months. 
Aydin Huseynov: Okay. So like 26, 26. Okay. 
 So I'm trying to understand these drugs seems to be working and -- but there is 40% who don't respond essentially, right, 39% based on DCR. So is there any way to come up with some other potential biomarkers to screen patients who would be more likely to respond or choose patients? Yes. 
Richard Miller: Well, we are working on that. We're looking all the time for mutations in baseline immune status, et cetera. But you'll remember that several months ago, we implemented, and on conference calls I talked about, the immune status at baseline, the absolute lymphocyte count, then using a number of prior therapies. I'm happy to report that since we've implemented those eligibility criteria, we have seen, I would say, not only more responses, but I would say the kinetics of the response has also -- has been faster. So I think that those moves that we made several months ago or maybe a year ago now really have made a difference. And those moves were based on our better understanding of the mechanism of action. 
 So I expect that in a Phase III trial -- we already know this. Phase III trial, we're going to get better patients. They're going to have better immune status to start with. Phase I trials usually get sicker patients, just by nature of the fact that they've exhausted the other -- any other therapies that are available. So I would expect that our results could get better, and we are continuing to look at different markers. But so far, I don't know, other than the baseline immune status, I don't have -- know if we have a specific molecular marker. 
Operator: Your next question comes from the line of Jeff Jones from Oppenheimer. 
Jeffrey Jones: Congrats on the news guys. That's great. And congrats on the financing as well. 
 One question on soquelitinib. There are a number of responders in the Phase I that were cutaneous T-cell lymphoma patients. Can you remind me if cutaneous T-cell lymphoma patients are in point to be included in the Phase III and what impact that might have on the PFS? 
Richard Miller: There are a couple of patients who are included in our 23 that had cutaneous T-cell lymphoma. Both of those patients had transformed cutaneous T-cell lymphoma. That portends a very bad prognosis when you get what's called large cell transformation. That's not your typical CTCL is my point. 
 CTCL patients are not going to be enrolled in our Phase III trial because it really is a different disease. It's treated with different drugs, and it can be a chronic disease early. People who have just skin disease can have disease for many years. That's not the patients we're talking about in this trial.
 But Jeff, I think you raised a good point, which I forgot to mention. We see responses in cutaneous lymphomas, anaplastic lymphoma, peripheral T-cell lymphomas, something called angioimmunoblastic or now known as T-follicular helper cell lymphoma. These are very histologies, very different histologies under the microscope. They have different patterns of spread in the body, and they have different mutations, genetic mutations. The fact that we see activity in this very diverse group of lymphomas, of T-cell lymphomas is really, again, consistent with our mechanism, which is to induce a host antitumor response. And one of the motivating factors, that we think we can extend this into solid tumors. That was the reason we started doing preclinical work with solid tumors. That data has been presented and confirmed by others, and this is the reason why we're also excited about looking at this drug in solid cancers.
 Did I answer your question? 
Jeffrey Jones: Yes, you did. That was really helpful. Appreciate it. I've always wondered about -- a little about those cutaneous responses, which are obviously generally good responses. 
Richard Miller: Jeff, hold on. The responses that we see in these cutaneous patients, it's not fair to call them that. They have cutaneous disease. They have circulating tumor cells. They have lymphadenopathy. Sometimes they have visceral disease. The responses that we've seen in the responding patients is not just cutaneous. It's throughout the body. Okay. 
Jeffrey Jones: Fair. Sorry, that was poor language choice on my part. 
 In the atopic dermatitis study, you mentioned, I believe, patients had been on 2 prior lines of therapy. Are there going to be -- are you including patients who have previously had dupilimab and failed? Or is that -- are you not being that specific? 
Richard Miller: We're not being that specific. And they have to have failed at least one prior therapy, one prior either systemic or topical therapy. Some of the patients -- we assume that some of the patients that come in our trial will have failed dupi, but it's not required. They will have also failed others. I think we've got a recent patient who failed a JAK inhibitor, for example. So really, we have to put this -- this trial was really intended to show, of course, that the drug is well-tolerated in a patient population like this. And we're looking for activity. Obviously, subsequently, we'll be trying to figure out is it -- how does it stack up against some of these other agents. But right now, we're confirming mechanisms, safety. And yes, we are measuring efficacy against the placebo. 
Jeffrey Jones: Got it. No, appreciate the clarity. 
 And then last question on cifo. I know that you had said 27 patients were enrolled, but you didn't specify how many were included in that interim efficacy analysis. 
Richard Miller: I think there's 18 patients in that. You're right, because some of them haven't come back for their first visit yet. 
 So this protocol, by the way, was prepared by the KCRC. And they have -- there are sort of blocks of, I forget how many patients each, 8 or 9 patients each. And there's a criteria efficacy threshold that you have to pass to continue. The results so far are really pretty good. And in fact, we're organizing meeting at ASCO to think about discussing things like adding a control arm or where do we go from here. Obviously, at some point, you want to have a control arm in there.
 By the way, the deep response rate of 32% ipi/nivo, I know people are always critical of historical controls as they should be, but that's based on a 900-patient CheckMate II -- well, the CheckMate study with ipi/nivo versus Sutent was over 900 patients, and then there was a nivo/cabo versus Sutent. That was 700 patients. So this is based on a pretty good foundation of data. 
Jeffrey Jones: Got it. Just one clarification. You had mentioned in your remarks, I think, 27 enrolled and then going over this threshold of deep responses to expand that trial. What did you mean just up to the 60 -- expand further up to the 60 planned? Or is there a potential expansion beyond those 60 patients? 
Richard Miller: No. There's no expansion beyond the 60. What I talked -- when I mentioned expanding, I think at some point, it'd be nice to add a control arm, maybe ipi/nivo alone, ipi/nivo/placebo. But that probably -- that raises the whole question of do you want to do randomized Phase II? Or do you want to go right to a Phase III? 
Operator: Your next question comes from the line of Graig Suvannavejh. 
Graig Suvannavejh: I have 2 in particular. One, maybe I'll start with your second asset. I know you mentioned that you were able to pass like the bar for success for moving forward. I don't know if you -- I might have missed this, if you quantified how much better beyond that bar that you had seen from, I guess, your 18 evaluable patients. So I'm wondering if you can perhaps shed more color on that. 
 And then secondly, just on your current cash. And congrats on the recent raise. But if you could clarify whether that cash gets you through the Phase III for soquelitinib in PTCL. 
Richard Miller: Okay. Graig, let me take the first one first. So the statistical threshold was a 50% increase. So the statisticians, 50% increase above the 32%, which is obviously 48%, if you meet that, you have a difference of -- with a P value of 0.1 on only 18 patients. That's a pretty stiff hurdle. 50% increase is a big hurdle. And so we exceeded that. I can't give you the exact number because the KCRC doesn't really want to disclose that yet, and I understand why because these numbers jump around a lot in a small study. But we're better than 48% deep response rate, okay? And if -- again, I want to emphasize, 50% improvement in deep response rate is -- that's a stiff hurdle. And the reason we wanted that is we didn't want to waste time on something that didn't have a significant probability of working. So we made it -- nor did they. So we've deliberately made these hurdles pretty strict.  
 Now your second question, I'll let Leiv answer. 
Leiv Lea: So Graig, associated with our financing, we also sold warrants. Now these warrants, first of all, have an exercise price of $3.50, but more importantly, maybe, they expire June 30, 2025, so a little over a year from now. So if all those warrants were exercised, we raise about $60 million. So the $30 million plus the $60 million, should those warrants be exercised, would get us through the Phase III trial. 
Operator: Your next question comes from the line of Roger Song from Jefferies. 
Unknown Analyst: This is [ Riyan Chalan ] on for Roger Song. Just a few questions from us. First one, soquelitinib, the modified inclusion criteria. So about the absolute lymphocyte count, about 900, so if I remember it correctly, there are big overlap between the 900-plus ALC count between the patient population. So could you clarify what, in general, this population looks like? 
Richard Miller: So the 900 absolute lymphocyte count, we determined based on the early part of the trial where we were taking anybody who failed any number of prior therapies. And we recognize that those patients above 900 did better, much better. And then we recognized that those were the patients who had no more than 3 prior therapies, less than or equal to 3 prior therapies. And so that's the criteria that we're using because they're less immunocompromised. Those are what's been used on the patients that have been reported in today's press release. It's the number of prior therapies, greater than or equal to 1 less than or equal to 3.
 Now I don't recall -- I'm sorry. 
Unknown Analyst: Do we know in general how many patients are -- have this -- meet this criteria? 
Richard Miller: If we -- in our trial, the percentage of patients that will meet this criteria, very high. Again, in a Phase III trial, we're already hearing from doctors, we're going to get we're going to get patients right after they fail their first-line therapy, maybe a second-line therapy. I would expect the number of eligible patients to be nearly 100%. 
Unknown Analyst: Got it. So our second question is about the AD study. So you mentioned there we could expect some early data readout in -- by year-end. So how -- just in general, how much data should we expect from there? 
Richard Miller: I think you can expect data from the first couple of cohorts, the -- and as you recall, we're -- our first dose is 100 milligrams BID, which is a pretty good dose. It's a dose that we know occupies the target, maybe 50% or so, give or take. It's not the best dose, but it's a pretty good dose. The second cohort gets 200 milligrams, and then we did 200 BID. So I think that we very well may see some signs of efficacy in the first cohort. I would expect, in the second cohort, we would see it. Obviously, I think it would be better in subsequent cohorts than the first cohort. But we're also looking at these biomarkers, the serum cytokines that we know we affect and how they'll change. So I'm hoping that sometime by the end of the summer, we'll start to get a feel for the clinical activity of the drug and also its effect on circulating cytokines. 
Unknown Analyst: Got it. So since you talked about the dosing regimens, just in general, how should we think about this soquelitinib dosing regimens in AD considering, there's a different indication compared to the dosing in T-cell lymphoma. 
Richard Miller: Okay. So we know -- and we've tested this not only in lymphoma patients, T-cell lymphoma patients, but in other -- in normal people in vitro. We know what it takes to saturate the T-cell -- ITK in the T cells. So as you recall, it's a covalent drug similar to the way ibrutinib work, but except this is to a different target. So that once the drug binds the target, it doesn't come off. So we know what it takes. We have a really good pharmacodynamic marker to know that we're blocking the T-cells or we're at least occupying the T-cells.
 Now we don't know for sure that the same pharmacodynamics will apply in ADs in lymphoma. I mean, the occupancy will be the same, but what it takes to affect your immune response, that we don't know. And that's why we're looking at different doses in the study. The reason to look at different doses is what does it take to affect the immunology in these patients and also, of course, looking for as low as possible, the lower the dose, the one would think the safer it would be. So that's why this is a Phase I study.
 But I mean, this is basic chemistry. Soquelitinib reacts with the ATP binding pocket of ITK, and that's the fact. That's what happens. And once that's occupied, that enzyme isn't going to work unless until a new one is made. So -- and of course, as you know, the rationale is that atopic dermatitis patients have an intense Th2-helper T-cell component in their disease. And we think if the drug gets there and it binds covalently to ITK, we know that we block Th2 cells, we know we bought Th2 cytokines, we think that will have an impact on the disease. But the purpose of the trial is to show that. 
Unknown Analyst: Sure. Maybe if I squeeze another question here. So regarding the ITK inhibitors, I know you have a couple more coming up in the pipeline. So what are some key differences between this one, soquelitinib, and the other candidate? 
Richard Miller: So first of all, we have over a dozen other ITK inhibitors that we've been evaluating. Some are completely different chemical structures, some are covalent, some are non-covalent. But the interesting biological features is some seem to affect T-cell -- some T-cell subsets more than others. And we find that to be quite interesting, quite novel and provides for, I think, some very strong intellectual property. 
Operator: Your next question comes from the line of Li Watsek from Cantor Fitzgerald. 
Rosemary Li: This is Rosemary on for Li. So just 2 quick ones from us. For atopic dermatitis, do you have a benchmark in terms of improvement in Eczema Area and the Severity Index? 
Richard Miller: No. We don't have a benchmark. 
Rosemary Li: Okay. Okay. And then for the second question. For your next-gen ITK inhibitors, do you plan to generate any human data for BD discussions or just the clinical? 
Richard Miller: I'm sorry, I can't understand the question. Can you repeat it? 
Rosemary Li: Sorry. So for your next-gen ITK inhibitors, do you plan on generating any human data before going for BD discussions? 
Richard Miller: Well, we're doing both in parallel. We're now selecting some of these backup or second-generation ITK inhibitors. They're in their IND-enabling studies. We're scaling them up. we're moving down parallel tracks.
 Okay. Operator, I think that exhaust our questions here for now. I want to thank -- hello? Any other quarter questions that I missed? 
Operator: There are no further questions at this time. I will hand the call over to Richard Miller, CEO of Corvus. Please continue. 
Richard Miller: Thank you, operator. I want to thank everyone for participating in today's conference call. We look forward to updating you on subsequent calls and appreciate your interest. Take care. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.